Operator: Good morning, ladies and gentlemen. Welcome to the TELUS International First Quarter 2023 Investor Call. My name is Latif and I will be your conference facilitator today. At this time, all lines have been placed on mute to avoid background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] I would now like to introduce Jason Mayr, Head of Investor Relations and Treasurer at TELUS International. Mr. Mayr, you may begin the call.
Jason Mayr: Thank you, Latif. Good morning, everyone. Thank you for joining us today for TELUS International's Q1 2023 investor call. Hosting our call today are Jeff Puritt, President and Chief Executive Officer; and Vanessa Kanu our Chief Financial Officer. As usual, we'll begin with some prepared -- where Jeff will provide an operational and strategic overview of the quarter, followed by Vanessa who will provide some key financial highlights. We'll then open the line to questions from pre-qualified analysts, before turning the call back to Jeff for his closing remarks. Before we begin, I would like to direct your attention to slide two of the supplementary presentation available for download on this webcast and also available on our website at telusinternational.com/investors. The statements made during this call may be forward-looking, including all comments reflecting expectations, assumptions, or beliefs about future events or performance that do not relate solely to historical periods. These forward-looking statements are subject to risks and uncertainties, which may cause actual results to differ materially from our current projections. We assume no obligation to update any forward-looking statements. Jeff and Vanessa will also discuss certain non-GAAP measures that the management team consider to be useful in assessing our company's underlying business performance. An explanation of these non-GAAP measures and a reconciliation to the comparable GAAP measures can be found in the appendices of today's supplementary presentation, along with the earnings news release issued this morning and regulatory filings available on SEDAR and EDGAR. I would also like to remind everyone that all financial measures we're referencing on this call and in our disclosure are in US dollars, unless specified otherwise, and relate only to TELUS International results and measures. With that -- the call over to our President and CEO, Jeff Puritt.
Jeff Puritt: Thank you, Jason and good morning, everyone. To begin, I'd like to thank those of you who are able to join us for our inaugural Investor Day in February at the New York Stock Exchange. It was wonderful to finally connect with so many of you in person for the first time. I truly appreciate the opportunity to provide a more in-depth view of TI's vision, strategy and operations that I'm typically able to on these quarterly calls. For those interested in accessing the Investor Day webcast recording and presentation materials, they continue to be available on our Investor Relations site. Let's turn now to our first quarter results. Despite persistent meaningful macroeconomic challenges, TELUS International delivered solid performance in the first quarter of 2023, with revenue growth of 15% on a consolidated reported basis and 16% in constant currency. We also continue to grow profitably with our adjusted EBITDA increasing a healthy 9% year. These solid results are noteworthy, given the volatility we continue to see in the broader market, exacerbated by factors including interest rate uncertainty, banking sector concerns and inflation, which in turn impact broader economic growth, consumer confidence and customer demand dynamics. Despite these challenges, the TI team executed very well in Q1, focusing our collective near-term effort on operating as efficiently as possible, while remaining agile as it relates to client demand. While we anticipate the labor markets will likely start to ease in the latter part of 2023, we expect supply side conditions will likely remain tight to the balance of Q2. Worthy of note this past quarter, TI has further diversified our delivery footprint into Africa, with an initial focus on meeting immediate demand from existing clients that are looking to grow their support in the region. We're proceeding carefully and thoughtfully, starting relatively small in South Africa and Morocco. And in financial terms the investment to date is not material. Our longer-term goal is to ramp our presence more meaningfully in the years ahead and I'm confident that our 18-year track record of successful global expansion will serve us well as we execute upon our plan. Another exciting milestone was our first quarter with WillowTree as part of our TI family. Integration efforts are progressing well and we continue to engage on in-flight cross-sell opportunities with new and existing clients. This includes opportunities with our parent – where, for example, we ramped new business in Q1, bringing WillowTree's premium digital design and build capabilities to help with TELUS's smart home design and engineering initiatives. We've also unlocked cost synergies related to IT and procurement savings through improved scale and leveraging of TI's purchasing power. Integration efforts related to sales incentive plan alignment are helping our joint go-to-market motion, along with sales training and learning session. We've aligned our financial close process through our ERP integration. We've also successfully launched our employee share purchase plan for WillowTree's US and Canadian team members, providing an additional opportunity for the WillowTree team to participate in our collective success. Our sales funnel remains strong and well diversified across key verticals and service offerings. Our global sales team continues to replinish this pool of opportunities, working diligently with clients, tenured and new alike. A selection of our new logo wins this past quarter include a insurance provider focused on solutions for homeowners and renters, a rapidly growing e-commerce platform based in the United States who specifically approach TELUS International for a trusted and experienced offshore outsourcing partner. An exciting new sports streaming platform in Germany, a pioneer in the American solar power industry and global selling solar generator brand and a leading software platform for digital media measurement and analytics based in the United States. Similarly, we continue to earn incremental and varied business with existing clients including the world's largest e-commerce company, an online game platform and game creation system, a cloud-based web development service provider and a leading global logistics company and US-based telecommunications company. We also continue to capture more business with our parent and anchor client TELUS Corporation, particularly in supporting TELUS Health, a leading global health and well-being company. This division of TELUS provides employee and family preventative healthcare and wellness solutions relying upon innovative digital technologies including AI and client service excellence to improve health outcomes. You'll note in our disclosure this quarter that we now separate revenues generated from health care as a stand-alone vertical. This is now our fifth largest industry vertical accounting for 6% of our total revenue in Q1 and with year-over-year growth of 233% specifically driven by TELUS' acquisition of LifeWorks. TI is well positioned as a digital enabler and innovator in the healthcare vertical where our expertise in CX digital transformation and tools powered by AI will play ever more important role with how we track analyze and act on health data focusing on prevention and wellness not just on treatment and remediation. In this regard, I believe technology has a massive opportunity to transform our lives for the better. And along this same thesis, there's certainly an abundance of current discussion and debate about generative AI its applications and its impact. That this course ranges from labeling at a danger to the public to celebrating Gen AI as an advancement for humanity on par with the adoption of the Internet. But what it's worth, my own views here are similar to those recently expressed by Sundar Pichai in 60 minutes somewhere in the optimistic middle. I believe two things are certain amidst all the noise. First, AI-driven algorithms must be trained and tested with trusted high-quality data meaning diverse and near bias-free data set. Second, humans must remain in the loop to address the ongoing governance and policy aspects of further development. TI is well positioned to benefit from the continued proliferation of AI through our meaningful and ongoing investments in this space and to support the emerging ecosystem including multiple fee clients with the development of core generative AI data sets and area experiencing extraordinary growth. TI's comprehensive solutions support our clients in the development and continuous optimization of their large language models or LLMs which fuel generative AI. We're able to assemble both industry and company-specific data sets to augment our clients' foundational models. Tapping into our AI community, we're well positioned to lead data set collection, creation and selection, engaging computational language, data scrapers and data decontaminated. Our work in this area also includes labeling data for sentiment analysis, named entity recognition, parts of speech tagging, personally identifiable information or PII scrubbing and identification of peak bake or otherwise not safe for work content. For our clients who have already developed an AI model, we lead the work on the validation and evaluation of AI output as well as retraining data sets in multiple languages and for experimental task types. As part of our generic AI software engineering services, we're advising clients contemplating the use of Gen AI-based technology and we're able to design build and deliver bespoke software engineering and data science services specifically geared for Gen AI applications. We've also helped clients implement process automation for Gen AI workflows. Regarding the establishment of policy guardrails for the successful and safer development of Gen AI, we're helping to design content moderation rules and guidelines for our clients to limit the field of play for Gen AI implementations. Continuing on the theme of AI, I'd like to share a recent case study regarding an end-to-end data collection, selection and annotation project for an advanced driver assistance system or ADAS for an Asian multinational electronics company. The current project involves collecting data from 30 countries covering approximately 25,000 kilometers using multiple vehicles provided by our clients equipped with the requisite technology for data capture called VS30. Two drivers are onboard each car with one driver operating vehicle for data collection while the other acts a copilot to tag data, following the validation and selection process, we used about 30% of the data collected and annotated for several use cases covering 2.3 million frames which is a standard measuring unit of data and computer vison. To give you a sense of the revenue scale here, a project like this is billed up to approximately $1 million. In addition to finishing up this project, we're also in talks with this client for an extension of further mileage and across even more countries leading to a potential tripling of the projects contracted revenue value. Speaking more broadly, our AI team at TI has been working diligently to expand our end-to-end AI services from data collection and management to selection and innotations were equipped to address all of our clients' needs and the development of an advanced driver assistance system. Our agnostic approach to managing client data ensures that we're able to work with all data storage mechanisms like Azure data disk external hard drive, Amazon Web Services snow devices, and more benefiting from the deep enterprise-grade relationship, we enjoy with multiple cloud providers. In data selection, we use automated and manual data selection of edge case events and detailed analytics of class and attribute distribution from each data set. That when it comes to annotation, we were able to provide full sensor fusion annotation automated labeling and quality control. The next use case, I'll highlight involves our trust and safety services which services are now nearly ubiquitous across all industry verticals. For example, in travel and hospitality shape travel with a common expression that while often used like heartedly makes reference to a very real and critical issue personal safety. One of our clients a global tech company turned to TELUS International to reduce incidents of fraud on their travel accommodation platform. Our client is committed to the trust and safety of its customers, when on their platform and during their travel. And that begins with a fundamental step to verify the identities of their users and preventing fraud from occurring during their on-platform payment process. TELUS International solution addresses both aspects for identity verification when new users join our client platform they're required to submit government identification and an additional photo. TELUS International provides the client with a dedicated team responsible for overseeing this important checkpoint. As a testament to our strong partnership, this was the first time the client ever outsourced this aspect of their operations to a third-party vendor. We earned their trust during the initial engagement with this client several years back specifically on providing background checks and other crucial verification processes from our core Ireland-based center, which substantially became a center of excellence for our clients' fraud convention efforts. During nine years of our partnership with this client TI has scaled this team of originally just six to now hundreds of dedicated specialists supporting this particular program, while sustaining operational excellence in world-class tenure. All payments on our clients' platform take place online. And while this makes payments traceable it also creates opportunities for fraud. Six months after we began supporting our clients anti-fraud operation our partnership expanded to deploy team members focused on online scam and payment fraud prevention. In particular our client relies upon TI to prevent and detect chargeback fraud and unauthorized transaction the two most common forms of payment fraud. Over the course of our partnership, we've consistently found new ways to strengthen our clients' fraud prevention framework and our client relies on TELUS International to address any issues related to trust and safety on their platform. The next example comes from our TI digital solutions team and illustrates how TELUS International's managed cloud services help the client a large telecommunications company, with the migration of virtual machines from their on-premises data center to Google Cloud leveraging Google Cloud's migrate for compute engine or M4CE to unlock new levels of cloud transformation. TELUS International's managed cloud services help the client understand Google's ecosystem modernize the environment and reduce technical debt by utilizing native Google Cloud services such as cloud SQL, cloud logging and load balancers to reduce managed operation costs and move to a new Ops model. This means, complete automation such that the IT environment can become so automated and abstracted from the underlying infrastructure that there's no need for a dedicated team have managed software in-house. This project requires thoughtful methodical timely and non-disruptive migration of the client's existing virtual machines or VM and their associated critical workloads. The TELUS International team led the planning of the end-to-end execution strategy at first at the client site. In the end our team migrated 100 VMs or 14 applications within six months, with no downtime while ensuring the client's infrastructure has dynamic capacity management to meet their demands. This enabled the deployment of new services in hours versus days. Notably, our initial success for this client led to us winning a subsequent contract to migrate an even larger more complex scope of dynamic workflows. One final example, I'll share with you today provides insight into how our intelligent TELUS International Assistant platform or ITIA delivers increased efficiency and engagement for our clients CX personnel. Our client is a household name in the innovative world of consumer robotics, seeking to scale up to meet increasing consumer demand. To do so, our client required increased ongoing training and a solution to make it easy for team members to find answers to customer questions. Our client already had an established and informative knowledge base, but it wasn't easy for frontline team members to find the content and context they were looking for while actively supporting customers. They needed relevant data retrieval to be quicker and to fit within their workflow. Our team of automation experts suggested the implementation of our ITIA platform to empower their CX operation with Asian assist chatbots having trained the technology with the information housed within the client's existing knowledge base the bots were then capable of effortlessly surfacing the correct information as well as providing tips scripts and reminders. The Intuitive automation platform helps to accelerate workflows and improve resolution rates. Importantly our solution brought the necessary visibility to bot performance helping this plan to evaluate analytics and generate operational insights. The box also added value outside of the context of support interaction by reducing the learning curve for new hires. At any time, team members can look to the bot for help in navigating company and product information offering every opportunity to solidify their knowledge in preparation for their next customer interaction. Our solution eliminates team member involvement in low-value processes and provides business intelligence data and insight into frequently-asked questions that can be added to the knowledge base. With our solution the client saw an improvement in average handle time by 28%, while their target was only 15%, and team member satisfaction was higher by 37% above the target of 35%, resulting in lengthened tenure for in-house team members and reduced rent training time for the clients growing CX operation. We continue to work together on innovation projects, for continuous improvement and to drive profitability enhancements. All of the case studies I just shared today, has varied as they are at their core, showcased the same foundational element our end-to-end capabilities, brought to life by our team members, leveraging cutting-edge technology. And speaking of our team members, at the end of the first quarter TI with an engaged global team of 76,752 full-time employees, up 13% year-over-year including our new WillowTree team members. Moreover, our team features prominently in TI's 2022 sustainability report, which we released last month. This was our first stand-alone sustainability report, available now on our website and shares our environmental, social and governance priorities and forward-looking commitments. In the report, we discussed our dedication to our "Giving" program diversity, equity inclusion and cybersecurity as well as our commitment to net carbon-neutral operations by 2030. On this point, we're working in collaboration with our parent company TELUS Corporation to meet science-based targets by 2030 including, to reduce absolute Scope 1 and 2 greenhouse gas emissions, by 46% from a 2019 base here. We also share our environmental stewardship results including year-over-year comparisons of Scope 1 and 2 greenhouse gas emissions and water and energy consumption going back to 2018. In fact, greenhouse gas emissions per team member, will reduce 41% when compared to 2019. In 2022, our team members volunteered more than 75,000 hours to important community projects like planting more than 34,000 trees installing 250 ecological stoves, and an equal number of water filtration systems as well as supporting 1.4 millions bees, with role as pollinators are essential for our crops. And on March 18th, our 11th TELUS "Giving" withheld in Quetzaltenango, Guatemala. Where more than 400 TELUS International volunteers refurbished the Quetzaltenango, Rural Mixta Manuel C. Figueroa school facilities and built two classrooms. This past quarter, we also hosted a period of corporate social responsibility throughout our site including on-site blood drives in India, the Philippines and Romania. Team members also volunteered to help those impacted by Earthquake in Turkey, and Syria tutor children taught English and hosted spring cleanups. In El Salvador, our team members work with young people and opportunities programs to improve their English skills so they have better opportunities that they are working with us if they qualify, starting their university courses or working elsewhere. We're also making good progress on our commitment to impact sourcing, with our efforts dedicated to hiring people who may need special accommodations or assistance. For example, through our unique impact sourcing programs in India, we launched a new program for our TELUS International AI Data Solutions team in the first quarter of this year. In a pilot project that began in late March, we're working with young women from rural and economically depressed areas to give them the requisite on-site training and psychological support, to be able to work independently and support their family. I'm also very pleased to report that for the fifth consecutive year, TI was named one of the Achievers 50 most engaged workplaces, an award that recognizes top employers who display leadership and innovation and employee engagement. And for the seventh consecutive year, TI was recognized by IAOP's Global Outsourcing 100, a ranking of the best outsourcing providers across categories of size and growth, customer references awards and certifications, programs for innovation and corporate social responsibility. And with that, I'll now invite our CFO, Vanessa Kanu, to share a review of our financial results and I'll return to answer your questions as usual. Vanessa, over to you.
Vanessa Kanu: Thank you, Jeff. Good morning. Thank you all for joining us today. As usual in my review of the financial results, I will refer to some items that are non-GAAP measures. For descriptions and the reconciliation of our GAAP to non-GAAP measures, please see our earnings release and regulatory filings from earlier this morning. In the first quarter, we delivered revenues of $686 million, up 15% year-over-year on a reported basis and 16% in constant currency. Our organic revenue growth was 5% or 7% in constant currency excluding the contribution from WillowTree. I will echo Jeff in saying, these are solid results given the challenging macroeconomic environment. Looking at our revenue by vertical. As we said on our February call, and during our Investor Day when we discussed our 2023 guidance, we expected softness in revenues from our second largest client, a leading social media network as well as general softness in the second games and e-commerce and fintech verticals. However, we did also note at that time, that this would be offset by strong growth in other clients including TELUS Corporation, and across other verticals. This was evident this quarter, as revenue from that leading social media clients was down 18% year-over-year or 14% in constant currency, tied to a reduction in service volumes primarily delivered out of our European operations. This contributed to the tech and games vertical, overall growing by 3% year-over-year in Q1. As the decline in that particular social media clients was offset by growth in other technology clients. In e-commerce and fintech, where we also noted that we would see softness revenue in Q1 was steady year-over-year. Our e-commerce revenues were strong, up year-over-year, while fintech revenues declined largely as expected given what is happening at a broader macro level in that space. Offsetting the softness in these two verticals, we saw strength in all other verticals as expected. Communications and Media was solid, with revenues increasing 10% year-over-year, with higher revenue from TELUS Corporation, our parent company and anchor clients, and growth with other telecommunication clients, including those arising from our acquisition of WillowTree. Banking, financial services and Insurance, or BFSI continues to show strength growing 33% year-over-year, driven by increases with major North American financial institutions and the addition of the WillowTree roster of clients in this vertical. Revenue in our health care vertical grew 233%m bringing this vertical into our top five as Jeff mentioned earlier. Healthcare now accounts for 6% of our total revenue in Q1. Againm this growth was enabled in large part by additional services provided to the health care business unit of TELUS Corporation. And then finally, revenue from all other verticals, which includes travel and hospitality retail and consumer packaged goods amongst others saw an increase of 48% year-over-year. Across all of our verticals, the reported revenue growth rates were negatively impacted by unfavorable Euro to U.S. dollar currency movements year-over-year. Looking further at revenue by geography. The geographic performance was impacted by the same forces as the vertical performance just described. Our European region delivered a meaningful volume of services to our second largest client and other fintech clients. The aforementioned softness in those vertical groups resulted in our European revenues being down 8% year-over-year, or 6% in constant currency. Revenues in North America however grew by 50% year-over-year, driven by contributions from WillowTree and growth in the health care vertical attributed to our support of TELUS Health. We also achieved strong growth in Central America, with revenue increasing 26% year-over-year, with broad-based growth across industry verticals, including second gain and communications and media. While in Asia Pacific revenue grew a solid 10% year-over-year, also with gains across all verticals. Moving on to operating expenses. Salaries and benefits expense in the first quarter was $428 million, [indiscernible] year-over-year. The increase was due to higher team member counts to support our business growth, including those arising from our acquisition of WillowTree, combined with investments in our team members through increased salaries and wages compared to the prior year. At the same time, we saw higher cost of service delivery in Europe, due in part to the lead time to implement ramp downs and other cost realization activities resulting from the aforementioned volume reductions in Europe. Salaries and benefits as a percentage of revenue increased to 62% in Q1 2023, compared to 57% in the prior year. Our goods and services purchased were $103 million in the quarter, a decrease of 10% year-over-year, with lower dependency on external contractors in favor of continued development and investments in internal capabilities, the reduction of certain sales taxes based on reset successful collection experience amongst other factors, which were partially offset by additional costs from the addition of WillowTree. Share-based compensation expense in the first quarter was $14 million, an increase of $7 million year-over-year, primarily attributed to equity accounted awards, which unlike liability at unit awards are not subject to mark-to-market adjustment based on changes in the share price. During the same quarter of the prior year, share-based compensation benefited from a lower average share price, which resulted in a downward mark-to-market adjustment on liability accounted awards. Acquisition, integration and other charges in the first quarter were $16 million, an increase of $12 million primarily due to a reorganization program initiated in the current quarter related to our European operations, as well as transaction and integration costs associated with our acquisition of WillowTree. Depreciation and amortization expense was $79 million, an increase of $14 million primarily due to capital and intangible assets acquired as part of WillowTree, as well as our own organic investments over the prior 12 months, which were partially offset by the lower average Euro to U.S. dollar exchange rates on assets held in our European subsidiaries where the functional currency is the Euro. Interest expense in the first quarter was $33 million, an increase of $24 million, which was primarily due to the upsizing and related borrowings on our credit facility to fund our acquisition of WillowTree higher lease liability balances, as we grow our team member base year-over-year and expanded our delivery footprint and higher average interest rates compared to the prior year. In the first quarter, we also recorded a income tax recovery of $2 million compared with an income tax expense of $23 million in the same quarter last year, and our effective tax rate decreased from 40.4% in the prior year to a negative 16.7%, primarily due to a change in the foreign tax differential including a favorable income tax settlement resulting from the conclusion of a tax authority audit. These items were partially offset by an increase in withholding and other taxes in the quarter. Our adjusted EBITDA was $155 million in the quarter, a year-over-year increase of 9%. Adjusted EBITDA margin in the quarter was 22.6%, compared with 23.7% in the same quarter last year due largely to changes in our revenue mix across industry verticals and geographic locations, and clients higher salaries and benefit costs compared with the prior year and higher service delivery costs in Europe. Adjusted net income for the quarter was $76 million, up 10% year-over-year. On a per share basis, this translated into adjusted diluted earnings per share for the quarter of $0.22, up 8% year-over-year. Now turning to the balance sheet and cash flow. Our balance sheet remains strong with costs of $142 million and available capacity under our credit agreement, a credit facility rather of $325 million. We generated free cash flow of $65 million compared to $104 million in the prior year. The differential due primarily to higher net outflows from working capital arising from our acquisition of WillowTree, including payments for transaction costs incurred to acquire the company. Excluding these transaction costs free cash flow would have been $101 million, a decrease of 3% compared to the same quarter last year. Our capital expenditures in the quarter were $15 million or 2% as a percentage of revenue in lower than usual level and largely due to project timing. However, we expect to increase capital expenditures in future quarters with the overall full year capital intensity similar to historical levels. Following the close of the WillowTree acquisition this January, our leverage as defined as per our credit agreement to 2.9x. During the first quarter, we decreased it to 2.8x as of March 31st, with debt repayments coming from cash generated from operations. We continue to expect that our strong cash flow profile will enable us to repay debt throughout the year as we progress towards the lower end of our 2 to 3x leverage ratio target. Now turning to our outlook. We are reiterating our outlook for continued robust double-digit profitable growth in 2023. Our revenue outlook remains in the range of $2.97 billion to $3.03 billion, which represents revenue growth of 20.3% to 22.8% on a reported basis and includes the contribution for WillowTree in the range of $255 million to $260 million. Excluding WillowTree, we expect organic growth of 10% to 12% for the year. For adjusted EBITDA, we continue to expect a range of $705 million to $725 million or 16% to 19% growth year-over-year, with adjusted EBITDA margins of 23.7% to 23.9%. This includes WillowTree's adjusted EBITDA margins of approximately 20% of revenue. We expect adjusted diluted earnings per share in the range of $1.20 to $1.25, which assumes a weighted average diluted share count of approximately $277 million in each of the quarters. And finally, for the full year, we expect our effective tax rate to remain in the range of 24% to 28%, reflecting the recovery in Q1 but also our expectation of the jurisdictional mix of our earnings. Overall, we remain cautiously optimistic as we exit the first quarter and we feel confident that TI remains well positioned to continue executing with resilience and growing the business profitably in 2023. With that, let's move on to questions. I kindly ask you to please keep it to one question at a time so that everyone could participate. Latif, over to you.
Operator: Thank you, Ms. Kanu. [Operator Instructions] Once again, we kindly ask you to limit your questions to one at a time and get back in the queue if you would like to ask another question. . [Operator Instructions] Our first question comes from the line of Keith Bachman of BMO. Your question please, Keith.
Keith Bachman: Yes. Many thanks. I was hoping you could talk a little bit more about Europe, if you could. I know you talked about the volumes were under duress. But how do you see this unfolding in terms of why does it get better? And when do you think the cadence of it is getting better? And if I could just wrap a broader AI question into that is you talked about the ITIA solution, but I'm just wondering a little bit. I hear the description and how it's enabling bots. How do you think generative AI would lend itself either to help it or hurting, because on the surface it just sounds like that same functionality could be driven by a generative AI solution, but maybe just if I could couple those two together. Thank you very much.
Jeff Puritt: I think there different but indeed might be overlapping implications of the two questions, Keith. Thank you. Frankly we could spend hours talking about generative AI. And indeed I'm happy to. It is an exciting field of opportunity and no doubt there are challenges associated with it as well. On the first part of your question, Europe continues to be a challenge for us, as Vanessa articulated in particular. And we are cautiously optimistic that with some stabilization in terms of wage inflation with continued optimization of our customer engagement there, we're looking forward to returning to profitable growth in the region. And I think we are not alone in continuing to aspire to some stabilization, particularly given the cascading effects from the ongoing invasion of the Ukraine. I guess the jury is still out frankly on how soon that happens. But as I said, we're looking forward to the back half of the year with a better performance out of that part of our business. In terms of the generative AI, there is obvious puts and takes here and there is already been nontrivial disintermediation or displacement of, let's call them, less complex, lower value human-assisted interactions through traditional automation and bot displacement where generative AI is a game changer already is really just the accelerated pace of displacement potentially. But this is as I said at our Investor Day, for example, and frankly even on previous earnings call this is not new for us, although obviously the ChatGPT announcements in November and March were game changers in terms of I think the broader public awareness and understanding of just how progress that capability has become. For us, we think it's a net positive. We were already leveraging automation RPA in bots to support simple predictable repeatable interactions with our clients and inside TI as we look to drive more efficient process activity and the combat mitigate inexorable wage and expense inflation. There are, nonetheless, though I have a dozen almost 11 concerns and some are macro, some are micro, some get more attention already around generative AI. Surely you heard the expression hallucination. And I think that's emblematic of the industry when generative AI is producing candidly straight up false results. And across the landscape, but exacerbated more so in domains like healthcare and financial services, none of us can afford to have -- being the output of these generative AI models in terms of providing the requisite reliability certainty predictability in connection with those transactions. So, I think it's going to be a while still before everyone in this industry gets displaced by generative AI. Candidly I believe that is not the future. I just don't see that dystopian outcome. I think for sure there's going to be a move to more complex activities that require humans in the loop and not just in supporting the proliferation, the production, the creation of ever more sophisticated complex generative AI models, but there's going to be a whole bunch of stuff in terms of supporting human beings end users that generally I cannot will not get to. And that's where we have been focused historically. And I'm grateful that we got out in front of this and we will continue to progress that evolution, so that we still have a meaningful role to play in the ecosystem and supporting our clients, delivering exceptional client experiences to their end user community.
Keith Bachman: Thank you, Jeff.
Jeff Puritt: My pleasure. Thanks for the question. And if you're up for it, I’m curious, offline, let’s talk some more about generative AI. It’s fascinating deal for all of us.
Operator: Thank you. Our next question comes from the line of Cassie Chan of Bank of America. Your question please, Cassie.
Cassie Chan: Hi. Thanks for taking the question. So, first I just wanted to ask I guess you guys still have your unchanged 10% to 12% organic revenue growth for the full year. It does imply a bit of an acceleration from the 1Q levels of about 7%. I guess, what do you think is going to be driving that? Is there anything more specific you give around assumptions around macro that may have changed, or any updates in terms of like growth from your top clients or anything that you feel confident that will drive that? Thank you.
Jeff Puritt: Yeah. As you'll recall from my prepared comments Cassie, the funnel here at TI continues to be very robust filled with both large and medium-sized opportunities. The decision making process has continued to be elongated a dynamic that we've been commenting on as have our peers over the last six, nine months. And we are cautiously optimistic based on those conversations with our clients' existing in perspective that they will finally get to finalizing, formalizing those decisions and moving forward in giving us the green light to get going on many of those opportunities that are in the funnel right now at a fairly progressed levels. I think that's a byproduct a consequence of all of us. We on both the supply and our customers on the demand side of the ledger, looking more broadly and feeling not just hoping that we're going to see some stabilization with respect to ongoing inflation interest rates and a better macro environment with some improved levels of certainty in terms of how the future will continue to unfold. And so I don't think any of our customers can wait indefinitely in order to get going on some of these now long, delayed, pause transformation initiatives. And so it's a direct consequence of those conversations and a broader look at the macro environment that is the underpinning of our optimism regarding the improved growth rates in the back half of the year.
Cassie Chan: That’s helpful. And then I just wanted to touch a little bit about headcount as well because I think you mentioned it a bit in your prepared remarks. You guys saw some pretty strong growth in headcount. I know some of that was from military. Was that relatively in line with your expectations? And I know you talked about a little bit of tightness that's going to continue through 2Q easing in the second half. Just help us translate what that means in terms of what you're expecting in terms of headcount growth for the full year that's baked into your guidance? Thanks.
Jeff Puritt: Yeah. The team member growth that we saw was really both WillowTree and the healthcare projects that we're taking on not exclusively but principally and indeed consistent with both Mayr and Vanessa's prepared remarks, we do see continued challenges both in terms of -- we haven't seen a meaningful moderation in wage inflation, nor in access and/or retention of talent. Obviously, the headlines in terms of the onshore environment in terms of tech sector layoffs in particular are non-trivial, but that's not really the fishing pool if you will. That's not where we're ramping up most of our team members. Most of our incremental team member growth is outside of North America. And you're not hearing and seeing much or nearly as much about sort of the downsizing if you will going on there. I think you'll see a continued moderation of team member growth, inside TI, through the back half of the year, consistent with supporting the growth rate that we forecasted as well as I think a reflection of the continued mix in services from which we derive our revenues, that will continue to be ever more technology-centric and less labor centric. This is going to be a business that will always be employing a significant number of talented human beings, but I think you should expect the mix shift to continue to progress and evolve overtime.
Cassie Chan: Thanks guys.
Jeff Puritt: Thank you, Cassie.
Operator: Thank you. Our next question comes from the line of Ramsey El-Assal of Barclays. Your question please, Ramsey.
Ramsey El-Assal: Hi. Thanks for taking my question, this morning. I hope you are doing well. I wanted to ask about the sort of divergent performance in Europe versus the U.S. of course ex-WillowTree. I'm curious, if that was more just due to mix meaning Europe just over indexes in the more pressured tech verticals, or is there a difference in sort of the macro pressure more broad-based macro pressure that you're seeing in Europe versus the U.S.?
Jeff Puritt: Hey Ramsey nice to hear your voice. Hope you are doing well.
Ramsey El-Assal: Thanks.
Jeff Puritt: It's both. But if I had to weight the impact of the two, I would say is probably more endogenous and less exogenous. I think the mix of both services and customers, that we've supported historically out of Europe has been more susceptible to some of these challenges that we're hearing and seeing in the macro. And so it's having a disproportionately adverse impact on our business there. Although the macro as I discussed in my response to an earlier question it continues to be challenging as well, but candidly, if I had to sort of I call it sort of 60-40 endogenous exogenous.
Ramsey El-Assal: Interesting. All right. Thank you.
Jeff Puritt: Thank you.
Operator: Our next question comes from the line of Aravinda Galappatthige of Canaccord Genuity. Your question please, Aravinda.
Aravinda Galappatthige: Thanks for taking my question. I wanted to talk a little bit about -- Jeff, in your prepared remarks you talked about increased business from your existing clientele. Can you talk to the trends you're seeing in terms of vendor consolidation in this current sort of macro backdrop? Is that a tailwind that you foresee going forward? Thanks.
Jeff Puritt: It has historically been so Aravinda. And we have indeed experienced and enjoyed the benefit of some of that. Admittedly, I had expected to see more of it more quickly. And I've not seen as much of it as yet, but I continue to be optimistic. And I am expecting again based in part on conversations with existing clients that that dynamic will continue at pace and perhaps even accelerate over the next three to six months, as sort of that uncertainty hopefully begins to wane. And customers move forward with some of these now somewhat delayed decision-making projects et cetera that the partners with whom they choose to move forward that will likely be an ever smaller community. And they'll be looking for, single-points of contact if you will those of us who can provide a wider spectrum of support rather than just niche onesie-twosie capabilities, I think we should be the beneficiaries of a disproportionate share of the return to transformation projects at scale in the back half of this year and longer term.
Aravinda Galappatthige: Thanks Jeff. I'll leave it there. Thank you.
Jeff Puritt: Thanks.
Operator: Thank you. Our next question comes from the line of Tien-Tsin Huang of JP Morgan. Your line is open, Tien-Tsin.
Tien-Tsin Huang: Great. Thank you very much. Good morning guys. I just want to ask on visibility versus 90 days ago especially on the large client side, TELUS Corp sounds like it's doing quite well. And same with BFI strong this quarter, have you seen any notable impact from all the bank turmoil and stresses in the banking system?
Jeff Puritt: Hey Tien-Tsin. Nice to hear your voice as well.
Tien-Tsin Huang: Yeah.
Jeff Puritt: Good question as ever. We don't have any exposure to the smaller regional banks, thankfully. We haven't seen any adverse effects there although obviously the market has more broadly. And I suspect, I'm not alone in anticipating that we're not seeing the end of that dynamic unfolding. But thus far we've been reasonably inoculated from it in perspective we anticipate that continuing. The larger BFI community that make up our customer base just seem to have figured this out a little bit better. I guess they're just better capitalized and they continue to be a source of meaningful growth for us and I guess it speaks to the let's call it presence of our strategy at first instance in terms of the diversification of the domains we selected where we've developed expertise and customer relationships. And it really has been off the back of having successfully served some of those larger entities that we're winning more business and growing along with them as they've been able to better prepare themselves for the challenging times prospectively. And as you correctly point out, TELUS continues to be just a wonderful symbiotic partner for TELUS International in terms of we continuing to be a source of accelerated transformation for them and they a meaningful source of continued growth for us not just in the core telecom platform, but now in their health care business as well.
Tien-Tsin Huang: Thanks.
Operator: Thank you. Our next question comes from the line of Jesse Wilson of William Blair. Your question please Jesse.
Jesse Wilson: Hi thank you and good morning. This is Jesse for Maggie. Appreciate the color on two of your largest accounts. Could you round out the basis with what you're seeing at Google and maybe the four to ten bucket as well? 
Jeff Puritt: So, on the Google front, we're actually seeing continued growth across the entire platform. And given the -- both the tenure and multiplicity of services that we provide to them. It's been encouraging to see continued progression across multiple areas. And given what's happened more broadly with the hyperscalers and they not being immune from some of the challenges that I just alluded to earlier that they continue to be a source of growth for us is heartening and encouraging and we're pretty excited about the areas of continued opportunity particularly around generative AI. In terms of four to ten, perhaps I'll impose upon my colleague and a little bit of advice for a little bit of incremental color there for you Jesse. 
Vanessa Kanu: Sure. Hey Jesse, you know we don't guide by clients. I'm not going to get into a lot of detail there. But as Jeff mentioned as you kind of look at the top 10 accounts, we've talked a lot about the number one client TELUS, the number two clients the social media company, and our cautious optimism with the number three client Google. As we look beyond from say client number four to client number 10, we're actually optimistic there as well. When we look at our Q1 results, as I mentioned in my remarks, particularly as you look at second games, that vertical overall actually grew year-over-year when you look at the magnitude of the decline in the number two clients actually says a lot. It actually tells you if you do the math that the other clients in that vertical in Q1 actually grew rather healthily. And so once you isolate the impact of that number two clients, we're seeing some pretty good growth across the other clients not only in the second games vertical but across the overall top 10 group. And we're feeling again reasonably comfortable that we'll see that dynamic play out through the rest of the year. 
Jesse Wilson: Understood. Thank you.
Vanessa Kanu: Thanks Jesse.
Operator: Thank you. Our next question comes from the line of Stephanie Price of CIBC. Your question please Stephanie. 
Stephanie Price: Good morning. I'm hoping you can talk a little bit about the current competitive intensity and how you see the environment changing post the recent consolidation into space? And maybe related to how you think about the M&A market here and whether TI was involved in bidding on any of the recent deals? 
Jeff Puritt: Hey Stephanie, as ever, thanks for the interesting challenging question. Competitive intensity I think as you know given the size and fragmented nature of our industry continues to be quite high. And I think it's fair to say that in this environment, as customers continue to be ever more focused on efficiency and cost savings. It is making for an even more challenging environment. Our value proposition as you well know is I would suggest decidedly differentiated from our peers and avoiding the years mess for less concept. And when the competition are willing to take on low no-margin opportunities it becomes that much more challenging to persuade an existing a prospective customer who is facing their own financial challenges and concerns regarding future uncertainty to continue to recognize the overall value proposition and total cost of ownership construct that we rely upon rather than just cheap and cheerful. I would suggest that intensity has continued and perhaps even intensified and we have to continue to be better. We have to continue to be refined in our approach and our thinking and demonstrate the disproportionate value that customers derive from working with TI and that we have a differentiated set of services that many – most of our competitors do not, again gives us an opportunity to mitigate or inoculate against that dynamic in part. In terms of the M&A landscape, as I know you know, we tend to avoid talking about deals that we haven't done even deals that we might have done, that there is consolidation going on in our industry and two, sort of much larger ones recently in the headlines. Doesn't come as a surprise to me at all. I think this is an industry that has been in need of consolidation if you will, reflective of growing customer appetite for as I alluded to earlier a single point of contact. And so continuing to grow and scale one platform, whether it's extending the service line and/or the geographic reach, I anticipate, we will see even more of that in the months and years ahead. I guess in our case though, we're looking to continue to focus on our differentiated approach to our service offering rather than just continuing to scale up in legacy services that have in my view inferior margin at and not an awful lot of upside in my view in that regard. Our focus has always been on profitable revenue not just revenue. And I think you should expect that we will continue to demonstrate that discipline in terms of M&A activity perspectively as well.
Stephanie Price: Thank you so much.
Jeff Puritt: Thanks, Stephanie.
Operator: Thank you. Our next question comes from the line of Ryan of Citi. Your line is open, Ryan.
Ryan Potter: Hey, thanks for taking my question. I wanted to follow up on the expansion into Africa. Could you discuss the opportunity that you think Africa represents from a delivery standpoint? I guess what types of initial clients, verticals services you kind of envision work being delivered from there initially? And then just I guess more broadly how important do you guys view geographic expansion once your priority list? 
Jeff Puritt: Hey, Ryan. Thanks for the question. So I mean it's a bit ironic for me personally given as you may or may not know, I grew up in Africa that we haven't been there yet. It's been a bit of a gap personally in terms of recognizing the opportunity that that continent represents in terms of growth prospectively. And we're obviously, not first new or alone in recognizing the potential that that market represents and both from a supply and demand perspective. Many of our existing clients as well as perspective have been inviting us to consider expanding our delivery capabilities there to continue to serve them as they our customers look to be closer to their end user community in those markets and express a desire to have our quality of service, helping them to continue to delight their end user community there. And frankly, I've been slow off the market frankly and cautious in supporting our expansion there. And now is when we decided, it made sense with a meaningful backlog of demand from existing and prospective customers, so that it's not a build it and they will come dynamic but rather as a result of our investments in both South Africa and Morocco. We will have existing and prospective customers being served out of those locations immediately. And so we can start to build from a base of consequence. We also recognize that there's an ever-growing talent pool there. It's not just unique language skills but also technology skills. As those regions continue to invest in education and training to facilitate their citizenry, participating in the digital economy prospectively. And so having a presence, giving us access to that deeper broader growing talent pool was important for us. So longer term, we would anticipate as we've done everywhere else. We've extended our reach. We'll start to scale meaningfully across our entire service line in supporting both existing and prospective customers more broadly in terms of geographic expansion I think what I just described is what you should expect prospectively. We have never – build that they will come model for expansion. We have always only expanded into new geographies either through acquisition and there attained with existing customers that were being supported and accessing existing talent pools that were already engaged and employed by the business we acquired and/or when we had existing prospective customer demand that we could count on to immediately support the capital investments required to extend our geographic reach. And you should expect that that will guide additional expansion as we look to continue to meet that opportunity. 
Ryan Potter: Good to hear. Thanks.
Jeff Puritt: Thanks, Ryan.
Operator: Thank you. Our next question comes from the line of Divya Goyal of Scotiabank. Your line is open, Divya.
Divya Goyal: Thank you so much. Hello, everyone. I just wanted to ask a question on the WillowTree. How, if you – Vanessa if you could provide us the exact WillowTree revenue for this quarter? And how was the growth for the company WillowTree revenue growth specifically on a year-over-year basis? And how do you expect, would it translate in the guidance that you've provided for the year? Appreciate it. Thank you.
Vanessa Kanu: Hey, Divya. So we actually disclosed the WillowTree revenues in the 6-K that was filed this morning. It was $57 million for the quarter. We didn't disclose the year-over-year growth, because that's a poor form of metric. We didn't report them last year. But that actually is in the high 20s. And how that translates from a full year perspective, if you kind of look at our guide, consistent with what we said at the Investor Day that would also put them about 30% year-over-year growth at the midpoint of our guidance.
Divya Goyal: And you think there the pipeline looks strong enough that they would be in a position to meet that guideline? 
Vanessa Kanu: So their pipeline is actually quite strong. And remember, we also talked a lot at the Investor Day about cross-sell and upsell revenue opportunities. I think you may recall, both Jeff and Mayr [ph] talked about shovel-ready projects that were on the go. Our priority in Q1 has been very much around integration, but not only from a back-office integration perspective, but frankly our go-to-market integration. There is a lot of activity going on right now with WillowTree and TI pitching to clients. So we're feeling pretty good about their pipeline. Again, that's not of today, Divya. Nobody has a crystal ball, but their guidance that we previously shared is what we're reiterating today.
Divya Goyal: That’s helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Matthew Roswell of RBC. Your question please, Matthew.
Matthew Roswell: Yes, its Matt on for Dan. But talking about your second largest client first, Vanessa, could you get the revenue numbers again? And then, I guess the question would be, what is the volume doing at that client because you were shifting from onshore to offshore which obviously has a revenue impact. Are you seeing kind of a greater-than-expected volume drop? 
Vanessa Kanu: The revenue in the quarter again, this is -- can be derived from our filings, which was approximately $86 million. And as I mentioned, it was down 18%. It was actually stable quarter-by-quarter, but generally about 18% from last Q1, 14%. We actually did have a very strong Q1 last year with this particular client based on various projects we had on the go. But like I said a bit more stable on a sequential basis, but a big reduction year-over-year. But we did also talk about an expectation of softness with this particular client. So the performance in Q1 wasn't terribly surprising to us. Again, we have been in discussions with them around planning for the year et cetera. We had already sort of built that into our guidance. And really I don't think there's really that much more to add to it frankly. I think, we had expected that we would have a soft performance with this client. We did also expect that based on strength in other enterprise customer groups especially as well with TELUS Corporation that we would largely offset that and that's what we saw in Q1.
Matthew Roswell: Okay. If I could sneak in just a quick modeling question. How should we think about interest expense for the rest of the year? Is the $33 million this quarter sort of a good run rate?
Vanessa Kanu: Yes, I think that's a reasonable run rate.
Matthew Roswell: Okay. Thank you, very much.
Vanessa Kanu: Thanks.
Operator: Thank you. Due to the time allocated for questions. I would like to turn the call back to Mr. Puritt for closing remarks. Mr. Puritt, the line is yours.
Jeff Puritt: Thank you. [Technical Difficulty] As you've heard me say before in times of macroeconomic uncertainty, I believe that it's imperative that we focus on factors within our control. For TI, this means that our priority remains operating all aspects of our business with the utmost efficiency. We continue to leverage automation and AI and we're incorporating generative AI into many of our existing platforms such as our in-house spot applications, internal communication translation and drafting job profiles to name just a few. It also means remaining agile in order to meet client demand at full speed when conditions start to improve. And this includes our ongoing integration of WillowTree for the business, which further enhances our differentiated end-to-end value proposition in the marketplace. And last, but certainly not least, it means continuing to operate our business guided by our values and our culture. This includes strengthening the sustainability of the environment and social structures in the regions where we operate through funding, volunteer activities, impact sourcing and community employment programs, expanding and enhancing our learning and development offerings for our team members and their families, promoting diversity and inclusivity for the benefit of TI and our clients and supporting the creation of responsible AI and state digital spaces. As a reminder before we wrap up, TELUS International's Annual General Meeting of Shareholders will take place virtually next week on May 12. Our shareholders have already received instructions on how to cast their vote ahead of times, as well as join the meeting, while everyone else can certainly join as guests, all the details on how to join are available on our Investor Relations website. Thank you all for your time and engagement today. I hope you all again soon. Bye-bye now.
Operator: The conference call has ended. You may now disconnect.